Operator: Good day and welcome to PriceSmart Incorporated’s Earnings Release Conference Call for the Third Quarter of Fiscal Year 2017, the three months period [technical difficulty] May 31, 2017. All participants are currently in a listen-only mode. After remarks from Jose Luis Laparte, PriceSmart’s President and Chief Executive Officer; and John Heffner, PriceSmart’s Executive Vice President and Chief Financial Officer, you will be given an opportunity to ask questions as time permits. [Operator Instructions] As a reminder this conference call is being recorded on Thursday, July 6, 2017. A digital replay will be available through July 13, 2017 starting one hour [technical difficulty] conclusion of this call by dialing 877-344-7529 for domestic callers, or +1412-317-0088 for international callers, and entering replay access code 10106771. I’d now like to turn the conference over to John Heffner. Please go ahead, sir.
John Heffner: Thank you and welcome to our earnings call for the third quarter of fiscal year 2017. We’ll be discussing the information that we provided in our earnings press release, and our 10-Q, both of which we released yesterday, July 5, 2017. This morning we also released our June sales results. You can find both press releases and the 10-Q filing on our Web site at www.pricesmart.com. Please note that statements made during this call may contain forward-looking statements concerning the Company’s anticipated future plans, revenues, and related matters. These forward-looking statements include, but are not limited to, statements containing the words expect, believe, will, may, should, estimate and several expressions -- similar expressions. These statements are subject to risks and uncertainties that can cause actual results to differ materially, including the risks detailed in the Company’s annual report on Form 10-K for the fiscal year ended August 31, 2016, filed with the Securities and Exchange Commission on October 27, 2016. We assume no obligation and expressly disclaim any duty to update any forward-looking statements to reflect the occurrence of events or circumstances which may arise after the date of this call. Now, I'll turn this over to Jose Luis Laparte, PriceSmart’s President and Chief Executive Officer.
Jose Luis Laparte: Good morning and thank you for joining our earnings call for the third quarter of this fiscal year 2017. Net warehouse sales for the period were $710.7 million, an increase of 3.8% compared to the same quarter a year-ago. Comparable sales for the 13 weeks ended June 4, 2017 were 2.2%.Net income for the third quarter was $18.8 million or $0.62 per share compared to $16.8 million or $0.55 per share in the comparable prior year period. Sales in our Central America segment were up by 1.8%. Panama and Guatemala recorded the strongest growth in excess of 5% and we also saw positive sales growth in El Salvador, Honduras, and Nicaragua. Costa Rica was the only market in Central America were we saw a decrease in sales compared to last year. While currency headwinds have been a factor, sales in local currency grew 1.8% in the [technical difficulty] continuing to invest in the Costa Rican market, which I will touch on further. For the Caribbean, we only saw a growth of 0.6% compared to last year, both Trinidad and Barbados experienced negative sales growth, as have been the case for the past several quarters. Trinidad, our largest market in that segment has been experiencing difficult economic conditions, which is impacting consumer demand and our members shopping with transactions down 2% from a year-ago. On the other hand, membership renewal rates in Trinidad continue to remain at 89% and our new member additions are on plan, which positions us well should the economic environment improve. Foreign currency liquidity remains an issue in Trinidad, although our in-country and corporate teams are doing a good job in their efforts to source tradable currencies to support our business. As a result, we are not limiting any more shipments as we did for several weeks in [technical difficulty] and December. During the second quarter Trinidad was down 9.6%, partially impacted by actions we took to limit shipments. In the third quarter the sales decrease was only 1.5%. Barbados, while not [technical difficulty] overall impact on the company sales as Trinidad, is also experiencing difficulties which is impacting sales. Now moving to Colombia, [technical difficulty] have good sales results with a growth of 27.2%, which includes our new Chia club that opened in September 1, 2016. From a comparable clubs at standpoint, the increase was nearly 10% even with the effect of cannibalized sales particular in our Salitre, Bogota club. We saw an increase of 16% in transactions and the [technical difficulty] was above 9% which was helped somewhat by a better exchange rate. In the current quarter, the average exchange rate was 2,117 Colombian pesos to the U.S dollar. A year-ago, it was 3,035 at 3.9% change. In local currency, our average ticket was up 5%, as we continue to focus our merchandising efforts on growing sales with the large membership base we have in Colombia. I will talk more about Colombia when we get to membership results. Warehouse margins for the quarter were 14% compared to 13.7% a year-ago. The improvement is largely explained by the higher margin in Colombia, which show an increase of 414 basis points in the past quarter compared to last year. Again a reflection of the [technical difficulty] conditions and the fact that last year in the same period we have more markdowns given the currency variations. In the non-Colombia business we also had a year-ago more markdowns given a softer Easter season in some markets. From a membership perspective, we finished the third quarter with more than 1,531,000 accounts representing a 3.7% growth in the membership base. Membership income was $12 million reflecting a 4.9% increase versus last year on the same quarter. Membership renewal rate finished at 84%, which is an improvement compared to the renewal rate at the end of fiscal year 2016 where we finished at 80%. If we exclude Colombia, the renewal rate for the quarter was 87%. We have seen improvements also in Colombia where we added more than 16,000 accounts in the beginning of the fiscal year and the 12-month renewal rate for the country is at 76% compared to only 58% at the start of fiscal year 2017. As a reminder, in Colombia we increased the membership fee in February 2017. The increase was 10,000 pesos in local currency or about $3.30. We have not experienced any reduction in renewal rates or a slowing of new member sign-ups resulting from that increase. When translated to U.S dollars, a membership in Colombia now yields approximately $21 compared to $35 in most of our other markets. Besides the numbers, let me add a few comments on important activities, which occurred during the past quarter. Costa Rica have been a challenging market for us in recent months with respect to sales growth. It is still, however, our most successful overall market, generating the highest level of sales and income for the Company. Part of our problem with our sales growth in that market is how successful and crowded our existing clubs are making it sometimes difficult for our members to access our parking lots and shop with us. That is why we’re excited to see the progress in construction -- in constructing our seven club in the country. The location is in the area Santa Ana. It will be close to one of our highest volume clubs in San Jose, Escazu. Although we expect some cannibalization to that location, we are looking forward to incremental sales for that from the new club and an improved shopping experience in the existing Escazu club. The grand opening is still planned for the first week of October 2017. And coupled with merchandising and operational improvements, we think we can better serve our Costa Rican members going forward. In terms of expansion, I’m happy that we're able to announce this morning the acquisition of about 25,000 square meters of land in the east area of Santo Domingo in the Dominican Republic. This will be our third club in the city, the fourth in the country of Dominican Republic. We are starting construction in the next week or two and we expect to have this club open in the spring of 2018. Besides to our new warehouse clubs that were opened in fiscal year 2018, we have been working on some of our expansion projects in existing clubs. We just started with the expansion of our Pradera club in Guatemala City. This is a very successful club that has limited parking and smaller than average sales floor space while adding more parking spaces to the existing parking deck and increasing the sales floor by expanding into areas formerly occupied by other retail tenants. We have started, but don't expect to finish expansion before the holiday season, given the challenges of constructions, while the club continues to operate. But we will have it completed in calendar 2018. Before speaking about June sales, I would like to address an important topic for all retailers related to the online channel given recent activity particularly in the United States where retail companies are taking action to strengthen their online presence or even companies looking at combining their online activity with more traditional brick-and-mortar business -- businesses via acquisition. We realize that this is an important trend in meeting future consumer needs and although the online channel is less developing in our markets, we at PriceSmart are developing a strategic plan and investing in technology to satisfy the shopping needs of our business and retail members. We believe that is done well. We can integrate the best of our traditional brick-and-mortar warehouse clubs with the new trends of online shopping and trade the right omni-channel experience for our members. We don't look at the online business in isolation, but instead we believe it should be fully integrated with the other activities we have right now that allow us to serve more than 1.5 million members accounts in the 13 countries where we do business. We also believe we have a privilege condition given the fact that through our membership base we know who our members are and what they buy. We also have a well developed and extensive distribution network within the region, along with a deep understanding of our markets. If done well again, we see an opportunity for PriceSmart to take full advantage of the trends towards increasing online shopping capabilities and integrate them with our existing club and distribution infrastructure. Now June sales, which we released this morning. Total sales for June 2017 were $230 million, an increase of 4.2% compared to the same month last year. For the four weeks ended July 2, 2017 comparable warehouse club sales for the 38 clubs open at least 13.5 months was 1.5%. While Trinidad and Barbados struggles continues, we saw an improvement in Costa Rica and Colombia continues to perform well in June. With two more months to complete our fiscal year 2017, we feel that we’re in a good position with our merchandise inventories and competitive pricing and good renewal as we end the fiscal year. In [technical difficulty] weeks we will start seeing some red and green in our clubs with the first arrival of holidays items for our early in strategy. With that, I just want to thank you for joining us today. And after John's remarks, we will take your questions.
John Heffner: Thank you, Jose Luis. Let me cover a few additional items. Total gross margins in the period included the effect of a lease liability charge associated with a difference in cash flows over the remainder of our lease term in the space we vacated in Miami upon moving into our new distribution center. In our last call, I indicated that charge would be approximately $450,000. However, we ended up recognizing expenses of $751,000 in the period, was not only included the lease liability charge, but also the current period cost of space that we've not yet sublet in a charge related to exiting part of our lease. In total, this impacted gross margin by about 11 basis points. Efforts continue to sublease space or find tenants that will cause landlord to release as our obligation. In the upcoming quarter, we will likely incur some additional cost in rent expense for which deals have not yet been finalized. Total SG&A expenses increased 37 basis points in the quarter as a percent of sales. Low or negative comp growth, particularly in large markets like Costa Rica and Trinidad resulted in higher club expense ratios. On the other hand, Colombia continues to have good expense leverage with sales -- with it sales growth is experiencing. Warehouse expense as a percent of sales in Colombia improved 34 basis points. We’ve slightly higher interest income compared to the third quarter of last year, but interest expense was higher by $250,000 resulting from both the debt associated with the acquisition of the Miami distribution center in Q2 and a $12 million loan we took in Trinidad this quarter as part of our efforts to address the illiquidity situation. Foreign exchange transactions and revaluation of monetary assets and liabilities resulted in a $1.1 million currency gain in the quarter compared to a $220,000 loss in Q3 last year. Devaluing currency movements in some of our countries during the quarter resulted in currency gains in those countries that had a net U.S dollar asset position like Jamaica and the Dominican Republic. And in Honduras, a country with which we have exposure to the lempira, the currency is strengthened by .76% resulting in a net gain. Filing in Trinidad despite higher transaction costs for converting TT dollars into U.S dollars, we made an allowance for that additional cost in our operating model resulting in an overall net currency gain. The effective tax rate for the period was 31.0% compared to 35.2% last year. The beneficial change was again attributable to the intercompany transactions between PriceSmart Inc. the U.S entity and PriceSmart Colombia related to our ongoing market development efforts in Colombia, and the improving conditions compared to prior years when losses in Colombia have the effect of increasing our effective tax rate. Q4 last year was the first quarter where we began experiencing this lower level of effective tax rate and which we will anniversary in this upcoming Q4. From a balance sheet perspective, the Company ended the third quarter with cash of a $192.1 million, an increase of $10.1 million during the quarter. Operating activities in the quarter added $21.8 million. We invested $12.4 million in various capital projects including the construction activity associated with the Santa Ana, Costa Rica warehouse club and we had net cash from financing activities of $1.9 million. With that, Jose Luis and I'd be happy to take your questions. Gary, I will turn things over to you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Dave King with ROTH Capital. Please go ahead.
Unidentified Analyst: Thank you. This is [indiscernible] on for Dave. Look likes part of the sequential decline in the club gross margins, which was due to the vacated lease charge. Can you talk about the other factors that weighed? Was it mainly currency and how then should we think about the outlook, given these ongoing currency pressures in traditionally devaluing markets where, unlike Colombia you’ve operated there for longer periods of time?
Jose Luis Laparte: I’m not sure I follow your question exactly. Can you repeat the -- its regarding gross margins, you said?
Unidentified Analyst: Yes, exactly. It's basically talking about was there anything outside of the vacated lease charge that weighed and were there anything outside of the currency pressures that weighed on that as well?
Jose Luis Laparte: No, but basically we had an improvement versus last year and other than that the currency changes happen all the time in different countries. We didn't have, except for a little bit in Costa Rica during one of the month of the quarter. We didn’t really have any big changes in currencies in any of the other markets. So that’s something where -- I guess is mixing to our numbers at any given time we are always having experiences of changing prices of -- or moving prices up or down depending on currency situations, but again I don’t recall any big move that will have been, I guess, drastic in terms of changing our gross margin. We actually have compared to what we budget, compared to our budgets we were right there in terms of gross margin. I hope that gives you a little bit more of explanation. I’m not sure I -- that’s what you were asking.
Unidentified Analyst: Yes, not that helped. I think I will try to move on to my last question. And on the last earnings call, you mentioned the potential to take the platinum memberships to other markets, besides Costa Rica. I just wanted to see if there were any updates there.
Jose Luis Laparte: Yes. We are about to launch it. We should be -- if nothing changes, we should be doing that at the beginning of our fiscal year 2018, which is starting in September and we have two markets that we will be launching that effort. So everything is about ready and we’re excited with that. Obviously, the experience in Costa Rica after a few years has been good. We saw the better renewal coming from those platinum members. We have higher spending from those platinum members and obviously creating that loyalty to continue shopping with us which is at the end, one of the most important thing. So, yes, members are happy with that in Costa Rica and launching it in two more countries and we will report on that on -- probably for our next call.
Unidentified Analyst: Okay, great. Thank you everyone, and good luck in the next quarter.
Jose Luis Laparte: Thank you.
Operator: The next question comes from Ronald Bookbinder with Coker Palmer. Please go ahead.
Ronald Bookbinder: Good morning.
Jose Luis Laparte: Good morning, Ronald.
Ronald Bookbinder: The Colombian peso has declined approximately 6% since the end of the quarter, while it's nothing compared to what you experienced in a not too long ago when it declined almost 30%. But should we expect to see some pressure on the memberships and on the buying activity in Colombia, given the recent decline in the Colombian peso?
Jose Luis Laparte: Ronald, I think we are pretty much -- I will speak for the market. I think that consumers and the members digested the evaluation already. The other results like valuations, I was also looking at this morning report on the Colombian peso. We tuck it every day. It was showing at 3.9% difference and as you mentioned its about 6%. I don’t think we have noticed any big changes. And one of the reasons might be obviously we are now, I guess, we have a higher base of items that we’re producing -- that are produced locally, which obviously have less of an effect in the currency changes. For the most part, I think in the Colombian market somewhere in between 3,000, little above, a little below, it is fine with them. I don't think they consider about a devaluation, sometimes it actually appreciate. We can have a couple of weeks where it goes up and then it goes slightly down. So I think I haven't seen any effect. And in membership our renewals as I reported we're at the highest ever. We believe, we actually track at 76%, which compares I believe I'd say its 58% at the end of the calendar year. So it's an improvement -- an important improvement 76% compared to the 58%. So we don't see any impact on that -- on renewals either side. So I think things are trending on the right direction. And again a lot of that is -- our mix has changed and we’re seeing good results with the items that we have been developing in the local -- from the local market, including some private-label items that are doing very good and its actually giving us the opportunity to export. So a lot of good things happen in Colombia, finally after a couple of years of pretty challenging times. I hope that answers your question, Ronald.
Ronald Bookbinder: Yes, and speaking on the new locally sourced items and private-label, they are doing very well in Colombia and I think on the last conference call you talked about possibly taking them to other stores in your network. Is there any progress or update on that? And how could that benefit in revenues and margins going forward?
Jose Luis Laparte: Well, we definitely -- we already have a couple of items that were developed a year-ago. We have towels that were developed more than a year-ago and sourcing them also to other country. What we did is we look at the pricing obviously that these towels or any items when we look at sourcing into other countries, it is replacing an item, an existing item which was the case for the towels. We were making sure that we were landing them on a better cost than the other products coming either from the U.S or whatever then, the towels were coming from, so that’s one of the things we're looking at. So it gives us either the benefit of better margins or more likely reducing our prices and trying to get more sales. And like that that we have a couple of items that are getting developed. We shipped some to smaller markets to start with. And then eventually we started to push them to a possible eventually to old markets. So it's a combination -- combination of efforts to try to push more on exports out of Colombia, which benefits obviously our relation with the local vendors in the country. The fact that we’re not buying only for the seven clubs in Colombia, but more for maybe 20 or eventually 439 or close to 40 clubs in the future. Now that’s kind of our vision for all those Colombia exports and great items, again quality is there, especially when we put our name on a private-label item we make sure that the quality is there to take it not only to the Colombia clubs for the rest of the markets, Ronald.
Ronald Bookbinder: And inventory was up 10% versus the 3.8% warehouse revenue increase. Is the inventory at markdowns risk or why the building in the inventory?
Jose Luis Laparte: No, when we have been looking at that. I don't believe we have any markdown on our seasonal inventory. We just finished the season of what we call like the carnival season, Semana Santa. We got into the summer season. We got new programs running in the clubs. Right now it's furniture and other things that we are doing. I think what we’re doing different is we’re trying to push more sales through buying inventory, having the clubs opportunity to do the right and caps to put items in the front fence to put items in the seasonal area, flex area, any opportunity. I think in the past sometimes we were limiting a little bit too much the flow of inventory, not allowing our warehouse managers to really have something to play with and generate sales. So that’s a little bit of the approach. We believe it’s the right investment. Yes, we do realize it is higher than last year, but I think it is the right investment. And the good thing is a lot of that is -- most of it is just safe inventory with not necessarily a stamp of seasonal that will cause later on a markdown, Ronald.
Ronald Bookbinder: Okay. And lastly, you announced the new store in the DR this morning, and you’re constructing the store in Costa Rica. Is there a movement away from the Colombian focus, given the difficulties that you’ve faced there?
Jose Luis Laparte: No, not at all. It's just, I guess, we announced them as they come out and when we’ve projects in, I guess, in the pipeline in different country. These were about two. Obviously, Costa Rica came a few months ago and this one just came as of June, the one in DR. But that doesn’t mean we’re discouraged or anything like that with Colombia. It's just the speed of how things move and the availability of I guess be on snowing, in that specific country about it is not an indication at all of moving away from that -- from that country or from the growth of opening there.
Ronald Bookbinder: Okay. Thank you very much and good luck in the new quarter.
Jose Luis Laparte: Thank you, Ronald.
John Heffner: Thanks, Ronald.
Operator: The next question comes from Patricio Danziger with RWC. Please go ahead.
Unidentified Analyst: Hi. I wanted to ask a question on margins, again these people are okay. I see that operating margins were one of the lowest in the history of the Company and profit margin was so very low year comparing it versus Q3, 2016, but that was also very [indiscernible] number. Just wanted to understand a little bit if you plan to go back to quarters like the second quarter or the first quarter or the Q3 in general? Thank you.
Jose Luis Laparte: I think Q3 in comparison with the other two quarters came a little below. That was more a result of activities. There is always some activity cleaning up inventories, even though it wasn’t a big shift in margins, because we didn’t have that much to have markdowns. Q3 for the most part of having a little bit more of markdowns. So they were not necessarily, obviously as aggressive as they were last year. I would say that going forward, we will probably be more close to what we’ve made in Q2. Again, Q1 and Q2 happened to be a little on the higher side. And we are not necessarily looking at increasing margins. It's just the way obviously with Colombia. The big shift is coming out of Colombia where compared to last year we have seen improvements in every single quarter. The rest of the markets is just a business as usual. Sometimes we get a little bit of pressure, I should add, on competition, because there are key items but sometimes that will become more competitive and you had a little bit more of pressure, you have wholesale business ongoing in -- sometimes in one quarter having another quarter, so there are variables there, that may drive the margins a little below the other aspect. But the recent any other factor that we foresee. And John, you were ….
John Heffner: Yes, let me just add to that, because I think the question also was really into operating margins not just gross margins and well there is a seasonality to our operating margins as a percent of sales, Q2 being our highest because of the high level of sales we get in December. And so that allows is a seasonal shift from Q2 to Q3. I think one of the things that was impacting us in this third quarter, which I think we addressed a little bit is the -- two of our four largest markets Cost Rica and Trinidad has seen negative sales and that certainly -- that has an impact on our ability to leverage expenses and then expense ratios that we have in those countries which waive on our operating margin percent. So I think it's a combination of both of this natural, seasonal activities from Q2 to Q3, as well as what we’re experiencing with the sales in those two very large markets for us.
Ronald Bookbinder: Thank you. This is very helpful.
Operator: The next question comes from Jon Braatz with Kansas City Capital. Please go ahead.
Jon Braatz: Good morning, John, Luis. I think I know the answer of this question, but is there any reason why you ….
Jose Luis Laparte: We will let you answer that answer John.
Jon Braatz: I did. Is there any reason to think that if things got more chaotic and Venezuela and would there be any impact on your Colombia stores? And then also with the sort of the financial turmoil and in Puerto Rico, and I know you don’t have stores there, but any reason why that -- any these sort of outside variables would have any impact on new business and sort of the Colombia or the Caribbean stores?
Jose Luis Laparte: We actually done -- we see that on the time, I guess a year-ago we started to see, and it is still happening. We have a lot of accounts in Panama. More than in Colombia, we get a lot of those in Panama. People that grow on and do big shopping a year-ago. Venezuela, and that’s really are moving, a lot of them are moving to Panama or it's our impression that are moving there they sign up, they renew year-after-year. So we had a good percentage of members that are actually from Venezuela. In our Panama market and also some of them in Aruba. Aruba has the -- I guess, more a convenient shopping experience, a lot of Venezuelans used to fly there to buy stuff because they didn’t have much Venezuela or he couldn’t have it over there and then they will take it and resell it or just to get dollars. So there is a lot going on especially more than in Colombia, I would say. We see a little bit in Barranquilla, but more than anything we get it in the other countries, not Panama and to some degree Aruba, which is a small Island, but still they get a lot of visitors. It's in very good proximity to Venezuela. So we see that. Will that get better? I don’t know. Its -- I don’t know. I know things are not getting a lot better in Venezuela, so I don’t know if that will have a better -- more a positive impact on us. It's hard to tell, but we get that on the time.
Jon Braatz: Okay. What about Puerto Rico? Anything to think about there?
Jose Luis Laparte: You know we haven't experienced anything. We have to look into our things. Obviously, Puerto Rico has the other two clubs, Costco and Sam's. So I don’t know if we will get much of that business or any of that or impact in our proximity area, not to -- I don’t think and I guess in the last 13, 14 years, I have been here. I don’t recall any benefit out of the Puerto Rico activity, not -- I know they’re having the difficulties right now.
Jon Braatz: Okay. Costa Rica, obviously there is some economic difficulties there. Anything the government is doing there to stimulate the economy? Maybe get things better and improve the situation? What are the sort of your outlook for the Costa Rica economy over - let's say, over the next year? Do you see some things improving or sort of continuing as things are?
Jose Luis Laparte: I think that we are going to see a little bit of improvement that will come from a year that hasn't been that great for the Costa Rica markets. So we definitely have a lower base to compete with starting Q1 next year. And even in June we’ve -- we saw a little bit of improvement. There is a lot going on. I don’t think that from the government perspective we see these declining. I hope we can continue getting some growth. We were also -- we also did some changes, I guess, internally to make sure we attack that market a little better. So I think we are well-positioned to keep looking at -- to turnaround that market for us and with the opening of the new club, obviously we are very optimistic that we can make that happen. So as whatever reason under our control, we think we will be well-positioned to have a good end of quarter and a good start for the fiscal year 2018, a lot going on in Costa Rica and even though again some challenges in the economy in general we had a tough month. I think it was 1.5 month ago where currency actually went that a little in the high side, almost hitting 600 pesos to -- COP600 to a $1, so it didn’t help, but it's now kind of stabilized.
Jon Braatz: Okay. One last question, the issues maybe in Trinidad and -- Trinidad is -- are easing a little bit, but in the past calls you’ve talked a little bit about what the currency is for in the black market. Is it still trading at a discount in the black-market versus the stated rate, so to speak?
John Heffner: Yes, it is Jon. There is still a premium that if you wanted to -- that you could buy U.S dollars at a premium out in the black market, but its small quantities. You certainly couldn’t -- that’s not something we would want to engage. So we’ve -- from time to time, we are offered through -- reputable sources offers of currency hard currency to Euros or U.S dollars at a bit of a premium and in some case we’ve taken advantage that we felt like it's in the range. But black market is even beyond that.
Jon Braatz: Yes. Well, so relative to maybe where you were six months ago, are you less concerned that there might be a devaluation in Trinidad?
John Heffner: We reduced substantially our exposure to any devaluation that might occur.
Jon Braatz: Yes.
John Heffner: So, well I can't predict whether one will occur or not, we have taken actions such that our exposures are pretty minimal now compared to where they were back in November.
Jon Braatz: I think it's only at 600K or something like that, so okay. Thanks, John.
John Heffner: Okay.
Operator: The next question comes from Victor Cardenas with Scotiabank. Please go ahead.
Victor Cardenas: Thank you very much. Thank you, Jose Luis for taking my question and John as well. My question for you is in regards to in view of the quarterly results and the year-over-year improvements if you could, give me some color as to help me understand why the stock price has negatively reacted that significantly?
Jose Luis Laparte: Oh I’m really going to have John for the …
John Heffner: Some great insight?
Victor Cardenas: Yes.
John Heffner: I don’t know Victor. I mean the -- we don’t provide guidance to the street, and therefore the -- I’m not sure what the basis for those projections or what our results might have been for the quarter or could have been. So I really have no comment on movement of the stock as a result of any public announcement that we make.
Jose Luis Laparte: Yes, I will only add that, obviously we run the business a quarter-by-quarter and looking at just keeping -- obviously looking at making improvements and regardless of however the market reacts, I think we are running good things. We have a lot going on in the Company. We are happy with the results and they would be better for sure, but I think we’re going to put a lot of good things for having a good end of quarter and hopefully the market will react to that again. It's a tough one to give you the right answer. I think internally we just keep looking at how can we do better regardless of whatever the market really does. So I think, again we’re running a good company and hopefully we’re pretty excited about 2018 with two new clubs. So a lot going on in the Company that should make us feel good anyway.
Victor Cardenas: Much appreciate. Thank you Jose Luis and John, and good luck in the next quarter.
Jose Luis Laparte: Thank you.
Operator: The next question comes from Thomas Vester with LGM Investments. Please go ahead.
Thomas Vester: Hi, Jose Luis and John. I have a bunch of questions, just let me know how many I can ask. But the first one will be in Colombia, I mean, clearly as you point out the margin is trending up again and now you know possible in the bottom line in Colombia. But can you -- do you have any view on where the margin will go to, because clearly there are much differentials in your markets and clearly also in Colombia, you maybe have a slightly more expense structure with a specifically expensive lease in Bogota, but I mean, Caribbean is low margin structurally than Central America. But can you just share a little bit of insights what a sustainable margin should be in Colombia and any view on when that will be reached? I mean, clearly probably that comment will depend on assuming a stable currency, that will be great.
Jose Luis Laparte: Yes. Obviously when we -- its been a tough ride as you know for the last couple of years in Colombia and that we made a point this year given that we had some currency stabilization that we were -- we have the opportunity obviously to consolidate our business there, get the members confidence. And I think we’ve been successful on that site for the most part with getting obviously good renewals, we were able to increase our membership fee, we were able to little by little get our margins more adjusted. We still think it will probably take a little longer to get to the margins, maybe more like Central America, that cost structure is more similar to Central America versus the cost structure of the Caribbean markets. So we see that happening, but it will probably take another -- a couple of years to get there. Competition is strong in Colombia. We don’t have a straight club competition, but obviously we have a lot of respect for the retailers over there, the big retailers, and obviously we’re still relatively a small still for -- in comparison with the other guys. I think everything is going on the right direction to position us well to continue growing and I think we’re going to take it very carefully in terms of trying to reach the same level of margins that we in the Colombian market, I mean in the Central America or the Caribbean markets. We want to get there eventually, that’s kind of the way we compare all the countries, but obviously, individually, each country at the same time have something that we need to make sure we stay competitive on that specific market, that we have room to get those -- the margins that we need. It varies by categories. The mix of sales obviously in Colombia slightly will be different compared to other markets. So everything place in the equation of getting to the margins we want. So I hope that answers your question.
Thomas Vester: Yes. And but you’re still expecting the margin to continue to trend up or do you expect it to level out here?
Jose Luis Laparte: We still expect markets to -- I think it will level up.
Thomas Vester: So the margin in this quarter in Colombia should sort of be the base for the coming quarters?
Jose Luis Laparte: Yes more likely I think we’re getting there. Obviously we saw that 414 basis points improvement, but I think we’re getting there.
Thomas Vester: Okay, great. And then just on the warehouse, this is probably you John on and I think I asked it last time as well, but I understand some of the cost with the move and on the early lease termination costs etcetera. But shouldn’t we start the season cost savings as well from not having those rental expenses and one would guess that owning it would be better for gross margin going forward since you’re taking the CapEx?
John Heffner: Yes, it's over time it will, Thomas. In the near-term though we vacated space that were still on the hook to provide the lease cover for us. So we are and while we are -- we are taking that efforts to sublet that space, we do have some -- we are paying rent on the vacated space in the near-term. However, I think we certainly recognize that we made the decision to go to the new -- to acquire the new DC and despite what we believe are going to be some short-term risk that we had to overcome to offload some of that costs, the long-term benefits both operationally and strategically of the new DC more than outweighed that risk. So lot of activity in that area, but in the short-term I think we’re going to continue to have some excess space that we vacated that will pay some lease on.
Thomas Vester: Okay. And then just next can you say anything, I mean, it's clearly much appreciated that '18 is looking to be an year with two new clubs coming from being slightly more lean on the new club additions in the last 24 months after the big expansion in Colombia. But can you share any color on the pipeline and how comfortable you’re and if you’re looking at anyways to speed it up without sacrificing the quality of your offering?
Jose Luis Laparte: I’m not sure we can give you a lot more color. All I will say is that that we have projects in the pipeline, Thomas, that we are optimistic that we will be able to little by little start, I guess, revealing that the projects that come in the pipeline, we’re obviously doing our best to try to [technical difficulty] it is difficult in every single market more than anything that permit -- the permitting process is slow. And we were just learning how to be patient. Obviously, doing the right things as a company. So I’m not sure we can give you a lot more, but I can assure you that definitely we want to keep finding a way to add more clubs this year, fiscal '18 happen to be one that we will be adding two, which is so far hopefully we may be able to squeeze something else maybe in the calendar year 2018. But things are looking good, so we feel pretty optimistic that we will be announcing something soon.
Thomas Vester: Great. And just on new markets, I don’t know if you can answer this question, but I mean clearly there is many more markets around you that looks interesting from a club penetration perspective, I mean, Peru, has been talked about as one that looks interesting. Can you say, if you’re actually looking to secure land in any new markets outside in your existing territory or are you just considering new markets? I mean, so I guess I’m asking if you can share if you actually looking to acquire land and it's just that has been holding up or you’re not at that stage for any new markets?
Jose Luis Laparte: We are not at that stage of looking for land. We always try to be aware of what's going on in the markets. Peru, the one that you mentioned, Chile, a few markets that we're kind of familiar with to some degree familiar with the market. But not ready to be making any announcement on a new country yet. I think we kind of -- I think we feel responsible to be aware of what’s going on, what’s the opportunity out there for us and try to figure out -- we can figure something as far as the strategy for those markets, but nothing on that really active role right now with those markets, Thomas.
Thomas Vester: Great. And just two more, then I promise to stop …
Jose Luis Laparte: Quite a long list.
Jose Luis Laparte: … yes, on ecommerce, much appreciated your sharing, Jose Luis, in the beginning, I mean, we’ve been doing a lot of thinking about how the -- I mean, clearly also looking at what Costco is doing because one could argue there is some structural difficulty in for club retailers to go online given the membership structure. But what I hear you say is that that your online strategy would be focused or centered around that its own members. Is that correct?
Jose Luis Laparte: Yes, definitely. Whatever we do in terms of online, it would be different to the way the clubs to clubs, you got to have a membership and some people think it's crazy not to allow everyone to shop, but we know that that works and obviously Costco and Sam's do the same thing in the states. So whatever we do is going to actually be with the number of accounts, 1.5 million accounts, that we have more than 3 million cards I guess if you put the additional cards sold. Our potential is as much as 3 million cards out there that can be not only shopping in a brick-and-mortar, but eventually integrate the online experience and have that successful experience what everybody calls now the omni-channel. It doesn’t matter where you shop, you can shop brick-and-mortar and shop on your own, whatever you shop, but it will be definitely to our members.
Thomas Vester: Yes, okay. Understood. And then the last question, I mean, I guess just following on the question from Scotia, I mean, you are coming out of a significant category cycle with the need you had for the ramp up in Colombia and now the big expensive in Miami, but given the very cash generative nature of your business, you're still net cash and I guess with the current cash generation you can easily internally finance three or four clubs a year, if that should be needed with the current level you kept for qualities and the dividend. And on top of that it seems from what you’re saying, John, that the liquidity tie up in Trinidad is getting a bit better. So, I guess, my question is, is the level of the share price where it makes sense for PriceSmart and specifically for its shareholders that you start buying back shares?
John Heffner: I think that that’s something we’re considering certainly, so I really couldn’t comment on that at this point, Thomas.
Thomas Vester: Okay. Thanks a lot.
Jose Luis Laparte: Thank you, Thomas.
Operator: [Operator Instructions] The next question comes from Greg Halter with [indiscernible]. Please go ahead.
Jose Luis Laparte: Hello, Greg.
Operator: Mr. Halter, your line is open.
Unidentified Analyst: Yes, sorry. Just curious about the online strategy and obviously being in the state here there is lots of concern over Amazon and other online players, they being the largest. Just wonder how you view that threat and just wonder if you could elaborate a little more on what your plans are to stem that, if you will, and how big of an issue is it in the countries you serve versus what we see in the U.S?
Jose Luis Laparte: Well, as I mentioned at the beginning, in our country it is still obviously -- there is no presence per se of, I guess, a competitor like Amazon. Although people can shop -- currently anybody in a country can shop obviously not on the Amazon, I guess any site in the state and for the most part they choose postal offices and they can get some goods. Usually its smaller goods, if you want to buy bigger stuff, it's just a challenge because the price and the delivery will kill you. So it's a little bit harder right now for our market, but they have the ability to do some of that shopping. Now with that said, obviously the level of online activity is not as big as it is, not even close to what it is in the state. But we see that trend changing and that’s why we -- I mentioned at the beginning that the strategy that we were not giving up on having a good strategy to serve the needs of the online shopping, and obviously we believe we have the strength obviously given that we know -- have the distribution network, we know the market, we have these base of members, we know what they shop, so it's a matter of organizing all those things that we know about our market and try to get the online experience mixed with our brick-and-mortar that is still successful part of the business as it is in the markets in the states where we see the component of brick-and-mortar being important. So I don’t know if I can give you more details on the strategy. We are working on investing on doing something. We believe there is a need to invest in technology to investing things that will make that online experience better for the members and that’s where we’re heading right now. We don’t want to wait to see if this becomes more important in our country. It is going to be probably, may take a little longer, we don’t know if it's going to be to 2 or 5 years or 10 years, but its -- I think all retail is moving on that direction and we just want to be ready.
Unidentified Analyst: Okay. Thank you for that and one other quick one. What do you do currently regarding cybersecurity given all the threats and issues, and I guess there are more than threats these days going on out there across the world?
Jose Luis Laparte: Well, we have a pretty strong -- every -- probably every Board meeting we have discussions on cybersecurity and recently actually we met -- we had a special meeting to -- with the people that give us all the advices and the team that works on cybersecurity and we feel we have a pretty secure network. We do take care of the member information that we have. Although we don’t carry a lot of different from other competitors, we don’t have in our files or in our -- I guess in our database, credit card information and things like that as other companies do. But still we do have a very strong things going on in terms of cybersecurity. We just want to be ready for whatever that is that may happen. You never know what can happen. Fortunately we haven't had any issues in our Company and we think we have a good plan. Right now on going forward, that’s something we keep reviewing and trying to update every as things change or evolve in that market.
Unidentified Analyst: Okay. Thank you.
Jose Luis Laparte: Thank you, Greg.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Heffner for any closing remarks.
John Heffner: Well, thank you Gary and I think I will wrap things up. This will end our call. So thank you for participating with us this morning. Have a good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.